Operator: Good day, ladies and gentlemen. And welcome to the Second Quarter 2011 Alexander & Baldwin Incorporated Earnings Conference Call. My name is [Unisia], and I’ll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) I would now like to turn the call over to Ms. Suzy Hollinger. Please proceed.
Suzy Hollinger: Thank you, Operator. Hello and welcome to Alexander & Baldwin’s second quarter 2011 earnings call. On the call with me today from Honolulu are Stan Kuriyama, A&B President and CEO; Chris Benjamin, A&B’s CFO; and Norb Buelsing, President of A&B Properties. And joining us from Matson’s office in Oakland is Matt Cox, President of Matson Navigation Company. Before we commence, please note that statements in this call and presentation that set forth expectations or predictions are based on facts and situations that are known to us as of today, August 8, 2011. Actual results may differ materially due to risks and uncertainties, such as those described on pages 17 through 25 of our 2010 Form 10-K and our other subsequent filings with the SEC. Statements in this call and presentation are not guarantees of future performance. Slides from this presentation are available for your download at our website www.alexanderbaldwin.com. You’ll see an icon at the top of the website to direct you to the appropriate section for download. This slide provides an agenda for our presentation, after which we will take your questions. We’ll start with Stan, who will comment on the performance for the quarter.
Stan Kuriyama: Good afternoon, everyone, and thank you for joining our call today. As stated in our earnings release, the company posted net income of $19 million or $0.44 a share for the second quarter of 2011, compared to $29 million or $0.70 a share last year. Improved year-over-year performance from our core Hawaii transportation service and our real estate and agro business segments were overshadowed by the negative performance of our China-Long Beach services which are being challenged by high fuel prices and over capacity in the Transpacific trade link. Included in second quarter net income were $11 million of after-tax losses from CLX2. We announced earlier today that we will be discontinuing CLX2 in the third quarter based upon both our near and long-term assessment of fuel prices and the Transpacific operating environment. The shutdown of this one string does not affect our Hawaii, Guam or CLX1 services all of which remain fundamentally sound and continue to have strong long-term prospects. Matt will provide more details on CLX2 later in the presentation. As you can see from this slide second quarter performance in all of our other business segments improved on a year-over-year basis. Besides the impact of CLX2, Ocean Transportation operating profit was lower than last year primarily because of lower rates and volumes and higher fuel cost for CLX1. However, as most of you know, CLX1 has the advantage of carrying westbound cargo from the U.S. Mainland to Hawaii and Guam and thus remains profitable even in this difficult environment. A bright spot for Matson was Hawaii. Container volumes in our core Hawaii trade lane were up 6% in the quarter. This is a third consecutive quarter that Hawaii has shown solid year-over-year growth. Real estate also performed well. Leasing operating profit increased moderately due to the timing of portfolio sales and acquisitions, as well as a 7 percentage point improvement in Mainland occupancy, which now stands at 93%. Real estate sales were up in the quarter due to favorable pricing for the sale of our shopping center in San Antonio, Texas and the successful closing of a number of smaller sales transactions. Agribusiness had a particularly strong quarter. Improving fundamentals in that business were bolstered by a shipment of raw sugar in June at an exceptionally high price point. We continue to grow our renewable energy business and recently announced a 6-megawatt solar project in Port Allen that will provide clean renewable power for residence of Hawaii. The project will expand the company’s already significant renewable energy portfolio. Finally, last month, we announced our hiring of our new CFO, Joel Wine. We’re fortunate to have secured someone, who not only has Joel’s strategic and financial capabilities but who is also already familiar with the company having served as our principle advisor for many years well at Goldman Sachs. Joel’s expertise and strategic analysis and finance will add depth to our management team and complement the strong accounting and compliance capabilities of our existing finance team. Joel officially comes on Board on September 1. Joel’s hiring pace the way for previously announced management changes to proceed. Chris Benjamin will become President of the A&B Land Group and A&G Properties on September 1. Rick Volner who took over for Chris as General Manager of HC&S on April 1st will continue to report to Chris. Norb Buelsing will be retiring at year end and will help ensure a smooth transition for Chris and Joel. Let me now call on Matt to begin the operating segment updates.
Matt Cox: Thanks, Stan. Ocean Transportation posted an operating profit of $9 million in the quarter, compared to an operating of $37 million last year due principally to high fuel prices and a weak freight rate environment in the Chain trade, impacting both the CLX1 and the CLX2 services. The good news is, we saw continued improvement in Hawaii volume in the quarter. Guam volume was lower due to exceptionally high volume last year from the carriage of materials for a few construction project, this quarters Guam number also were affected by competitive pressures and a significant decrease in tourists from Japan due to the March earthquake. Before we look at the results by trade lane, let me spend a few moments discussing the shutdown of the CLX2 service. We entered the CLX2 service based on an outlook of continuing strong growth in the Transpacific trade lane and our ability to leverage the operating expertise and customer base we had developed over the five year very successful performance of our CLX1 service. We also underwrote this service in anticipation of the type of rate and volume cyclicality historically exhibited in this trade lane. And while we were successful in meeting most of our operating and volume expectations and establishing a blue chip customer base, what we didn’t expect was that from September 2010 to July 2011, carriers in the Transpacific trade would experience a simultaneous 47% increase in fuel rates and a 27% decrease in freight rates. Because of our outlook for sustained high fuel prices and continued uncertainty and volatility in the Transpacific supply and demand, we have decided to discontinue CLX2 with its last eastbound sailing on August 21st. Going forward, we expect after-tax losses associated with the final voyages and the discontinuation of CLX2’s operation will range from $20 to $25 million, the majority of which are expected to be incurred in the third quarter. This comprises both anticipated operating losses for the third quarter and termination costs, such as leased equipment off hire and vessel charter costs. This slide shows operating losses for the CLX2 service since inception. Most of the 2010 and early 2011 losses were in line with our expectations and attributable to the ramp up of our service. The first and second quarter results, however, fell well short of our expectations. Ocean Transportation results excluding CLX2 are also shown on this slide. Most of the $10 million second quarter year-over-year decline ex-CLX2 is due to lower CLX1 performance. Like CLX2, CLX1 was also negatively impacted by lower transportation – Transpacific demand and freight rates and higher fuel prices. In fact trade lane overcapacity makes it unlikely that the Transpacific will see much of a peak season surcharge this year. However, as Stan pointed out, because of CLX1 westbound service advantage, it remains fundamentally profitable and sound. Partly in response to our negative Transpacific results, we have instituted a series of costs reduction initiatives throughout Matson. These initiatives include changes in marine terminal operations to reduce costs, safety and loss reduction initiative, the deferral of hiring open position and targeted position eliminations. It also includes deferral of non-essential projects and supplier contract renegotiation and we continue of course on a 24x7 basis to operate each of our trade lanes as efficiently as we can while always seeking to improve our market position. Turning to the Hawaii Service. We are very pleased by the continued growth in the Hawaii container volumes. Volume was up 6% for the quarter compared to last year reflecting the ongoing benefit of a connecting carrier agreement with a large international carrier, customer gains and modest growth in the overall Hawaiian market. This makes three straight quarters of year-over-year volume growth which is encouraging as the Hawaii trade represents a majority of our total container volume. Absent dramatic increases in fuel costs we’re also on tract to recover nearly all our fuel costs in both the Hawaii and Guam trade lanes by year end. Guam volumes were down 19% in the second quarter of 2011 versus 2010 due to unusually high prior year volumes for the carriage of materials for a few large construction projects that did not repeat in 2011. A change in the competitor sailing schedule and declining market demand due to significant reduction in Japanese visitors to Guam from the March earthquake also contributed to the decrease. The current debate in Congress over funding for military projects in Guam, as well as uncertainty over the timing and amount of funding from Japan due to the earthquake will likely result in a delay in the start of some of the military relocation projects. As a result, we now expect Guam volume performance to be moderately lower this year compared to 2010. Better performance in Hawaii along with cost reduction initiatives are anticipated to help partially offset the impact of a challenging Transpacific environment and higher fuel costs on CLX1 and lower expected Guam volumes. For the second half of the year we expect Ocean Transportation operating profit, excluding the impact of CLX2 will be lower than the second half of 2010. Turning to Logistics, Matson Logistics results were $600,000 higher in the quarter compared to last year, due principally to higher international intermodal volumes and warehousing margins. We expect continued growth in warehousing and distribution but overall performance in the second half of the year is expected to be relatively flat compared to 2010. You may have seen our release in July announcing the rebranding of our logistic operation under the Matson Logistics banner. This will help us better define and market the full range of services the Matson name represents outside of Ocean Transportation. Let me now ask Norb to update you on real estate.
Norb Buelsing: Thanks, Matt, and good afternoon. Let me start with leasing. Operating profit was up in the second quarter compared to last year, due primarily to the timing of portfolio, sales and acquisitions and improving Mainland occupancy, which climbed to 93% in the second quarter from 86% last year. At 91% Hawaii occupancy was 2 percentage points lower than last year, but was a slight improvement compared to the year’s first quarter. The year-over-year decline was almost entirely due to the acquisition of an Oahu industrial property we bought last year. Market rents remained relatively stable in the quarter and the company will continue to benefit from a low level of rollover leases in 2011. While Hawaii rents are expected to remain under pressure and we will have higher depreciation from recent acquisitions, we expect that our overall lease portfolio will perform modestly better in the second half of the year versus 2010 Second quarter operating profit from real estate sales was $3 million higher than last year due to the June sale of Arbor Park Shopping Center, 140,000 square foot retail center in San Antonio, Texas where favorable pricing was realized. This sale occurred earlier than expected. The successful closings of a number of smaller sales transactions also contributed to improved year-over-year performance. Also in June, we acquired an office complex in Everett, Washington from the FDIC at an attractive price. The two building 84,000 square foot complex is 100% occupied by Union Bank and continues our strategy of effectively using 1031 exchange proceeds to improve the quality or future appreciation potential of our income portfolio. In development, we’re in the final stages of permitting for our 179 acre Maui Business Park II project. Construction contracts for the work on the initial 100 acre increment have been signed and construction will proceed, ending receipt of necessary permits. Planning also continues for the development of a high-rise condominium project on the Honolulu parcel we purchased last summer, which we recently named Waihonua, meaning waters of the earth. Condominium sale prices in the desirable Kaka’ako Ala Moana corridor have been increasing. Medium prices through June were up 12% compared to last year, which is encouraging as we plan to launch pre-sale marketing by year end. Buyer response will assist us in determining in construction timing for the Waihonua project. We are also evaluating several other development opportunities in Honolulu’s urban core. This concludes the real estate discussion. Let me hand the presentation to Chris to discuss agribusiness.
Chris Benjamin: Thanks, Norb. The agribusiness performed very well in the second quarter posting operating profit of $9 million, compared to $2 million in the same quarter last year, due to higher sugar margins from exceptional pricing on a delivery of raw sugar in June, but also due to higher molasses and power sales margins and continued strong operating performance. Our sugar deliveries take place in 36,000 ton increments because that’s the size of our sugar vessel, so quarterly results can fluctuate based on the timing of shipments and also the price of each voyage. Operating performance is expected to remain strong and total production should exceed 2010 levels. Third and fourth quarter results are expected to remain positive though profits are expected to be lower than second quarter levels, as pricing on the remaining deliveries this year will not match the high level of the June delivery but still would be very favorable. Financial performance as always will depend on successful completion of the sugar harvest, which is just past its half way point. Last quarter, I mentioned that we were evaluating solar farm opportunities and I’m excited about our recent announcement of a 6-megawatt solar project on the Island of Kauai. The project not only expands our renewable energy generating capabilities but also will put non-income generating land to work earning a return throughout the projects 20-year expected life. The pay back on this investment is quick, less than five years due to federal and state tax credits and favorable federal tax depreciation treatment. As a result, if we make our in-service date objectives next year, we’ll see a substantial benefit in A&B’s 2012 effective tax rate and recover nearly two-thirds of our cash investment within one year. That concludes our operational update and I’ll now comment on financial matters. Operating cash flows through June decreased $22 million compared to last year, principally due to lower Matson results. Looking at our CapEx, since we last presented this slide in May, real estate capital expenditures were revised downward by $17 million, primarily to reflect the timing of development costs for several of our projects. The forecast still includes $30 million designated for opportunistic investments through our Project X program. Year-to-date expenditures mainly consisted of container purchases and real estate development project cost. Our balance sheet remains strong. Debt levels increased by $34 million during the first half of the year but despite this increase our leverage remains quite low at 33% debt-to-debt plus equity. Finally, let me comment on our revolving credit facilities. Recently, we renewed A&B’s and Matson’s unsercured revolving credit facilities and increase the total capacity of these facilities from $325 million to $355 million. The new facilities extend through August 2016. Two banks were added to the lending group, DnB NOR and U.S. Bank. And as a result, we chose to terminate Matson’s separate secured facility with DnB NOR as part of this realignment. I’ll now turn the call back over to Stan for closing remarks.
Stan Kuriyama: Thank you, Chris. Let me comment briefly on the Hawaii economy. A real bright spot has been the continuing strength of our tourism industry. Year-to-date visitor arrivals are up 5% with increases in visitors from the Mainland and Canada more than offsetting the decrease in Japanese visitor. State tourism officials project visitor arrivals will reach 7.3 million this year, which will be the fourth highest number of arrivals on record. Perhaps even more significantly year-to-date tourism expenditures were up 18%, compared to last year, but the current pace spending is on track to $12.6 billion this year, which would be the second highest year on record nearly reaching the $12.8 billion achieved in 2007. Another bit of particularly good news is that China Eastern Airlines, which I previously announced the first direct service between China and Hawaii will be launching its inaugural flight tomorrow. Strong recovery in tourism had contributed to a relatively lower state unemployment rate, which declined from 6.6% in June 2010 to 6% this past June. As a result, modest growth continues to be projected for the Hawaii economy in 2011. I would note that while the visitor industry has experienced solid growth, construction activity remains suppressed and Oahu home prices have been relatively flat this year. In closing, while the performance of our second China string is obviously a large disappointment to us, it is clear that the discontinuation of this service is the right decision for the company and our shareholders. It’s also important to remember that Matson’s remaining trade lanes are not affected by disclosure and remain fundamentally strong. We continue to forecast volume growth in Matson’s Hawaii service. This combined with anticipated improvements in real estate leasing and agribusiness performance are expected to help partially offset lower performance from our China and Guam services for the remainder of the year. This concludes our formal remarks and we would now welcome your questions. Thank you.
Operator: (Operator Instructions) And the first question comes from the line of Sheila McGrath with KBW. Please proceed.
Sheila McGrath – KBW: Hi. Yeah. Good afternoon. Stan, could you discuss when you decided to abandon CLX2, when you came to that conclusion and a little bit about the thought process there? And also, just a little bit insight in terms on the weakness, was it more do you believe because of excess supply or weakness in demand?
Stan Kuriyama: Okay. Sheila, let me answer the first part. I mean the decision was recently made. We of course have been monitoring CLX2 very carefully for some period of time but we’ve kind of wanted to see what the peak season surcharge if any would look like before making a final call on CLX2. Realizing that there wasn’t going to be a peak season, I think it confirms some of our earlier concerns over the service and so the decision to close it down was made recently. I think the strategic decision to enter the trade was the right one. There are number of strong reasons to do it. We got overwhelmed by a number of large forces in the marketplace, mostly fuel, mostly rates. So, let me turn it over to Matt now to kind of give his perspectives on what happened in the Transpacific trade lane.
Matt Cox: Hi, Sheila. I would just add to what Stan said. I think as we got through the first part of the year, we were certainly building volumes week-by-week in our services. I thought we probably had a relatively successful contracting season going into May 1. But fundamentally, the changes in fuel costs was probably the single largest factor and if you look at Goldman or other forecast over the next few years. If you put today aside in the weakness perhaps because of economic concerns that fundamentally the higher fuel prices change significantly the breakeven price of this service moving forward in our expedited model. And so, that with carrier behavior as it was a combination you asked earlier of supply and demand. I think both were factors, I think carriers introduced too much tonnage relative to what turned out to be a weaker demand forecast and that resulted in rate declines in this hyper competitive market. So, it was both the tactical elements of supply and demand but perhaps more fundamentally, our prospects over the intermediate term for fuel prices which fundamentally redraw our breakeven price on the service.
Sheila McGrath – KBW: Okay. And then, moving over to Guam, you did, I guess, the volume was off a little bit from year-over-year and you mentioned kind of delays in terms of the pickup in demand. So, are you assuming that, that’s just pushing off decisions from the government or is it, I think you did mentioned increased competition in that trade lane. So, I just wanted your thoughts again on Guam in the outlook there?
Stan Kuriyama: Sure. Yeah. We identified three separate factors to our year-over-year decline in volume. The first one was a factor which has been present since the first of year when Horizon Lines changed their deployment and arrive before Matson in the service and that accounted for a market share shift, an element of this change. The second aspect of it was the decline in Japanese towards something like Hawaii defense and tourism were the two main drivers of the Guam economy and we did see a significant fall off of Japanese visitors as a result of the earthquake and tsunami. And then we did see thirdly just fewer volumes related to construction projects which were higher last year than this year. With respect to your question about the Department of Defense I would say that most of the sources inside of the Department of Defense that we too talk to believe that this will happen, but it will just happen more slowly than was first indicated. But there are of course big questions about our own U.S. Department of Defense spending and the Japanese government. So the remaining questions, I think, our view at this point is it will just be pushed into the future rather than not be present at all.
Sheila McGrath – KBW: Okay. Thank you. Just moving real quick to real estate, if you could give us an update on Kukui’ula and if there is any update on increased interest or activity level there?
Norb Buelsing: Hi, Sheila this is Norb. At Kukui’ula, I think we previously reported we have closed on 81 lots and construction continues. We’ve finished five homes and we have an additional 15 homes that are under construction. We did complete one bulk sale for 15 lots and the home builder has started construction of his model homes on those parcels. So there is good activity on that side. On the marketing side we continue to ramp up our marketing operations and certainly are getting interest, that resorts sales are slowly back. I think the market -- the bottom of the market has been found as far as the clearing out of distressed sale. So we’re starting to see positive signs.
Sheila McGrath – KBW: Okay. Thank you.
Operator: (Operator Instructions) And the next question comes from the line of Brendan Maiorana with Wells Fargo. Please proceed.
Brendan Maiorana – Wells Fargo: Thanks. Good morning. A question on -- just a follow up on develop on CLX2 so the $25 million of cost that is going to come out, is all of that a cash cost that is going to be coming out the door in the back half of the year or some of that is a write-off of investment that’s been made thus far?
Matt Cox: Hi, Brendan this is Matt. The answer to your question is the cost associated with this $20 million to $25 million after-tax estimate is related to cash expenditures that will occur principally from the activities of marshaling and off-hiring leased containers and other winding down activities including the efforts to re-charter the two vessels that are not coming off hire. Those cash expenditures will occur in the third quarter, but some of them will occur all the way through probably the end of 2012. So, I think they come over several different streams, I expect the cash expenditures to occur much more slowly. These reflect the accounting charges and there are no impairment or write-off of assets, these are all cash expenditures that will be occurred in the second half of 2011 and then some will trail into 2012.
Brendan Maiorana – Wells Fargo: So was the original investment that I think was $60 million if memory serves back at Q3 of last year, was that -- I mean is all of that been reflected in operations thus far and as that’s why more operating costs as opposed to investments in actual tangible assets?
Matt Cox: The investment we’ve made in the CLX2 service really came in two categories. The principal investment we’ve purchased about 18,000 containers for this new service, about 9,000 containers were purchased and 9,000 containers were leased. So, our initial investment comprised the purchase of these 9,000 containers and then we also included as elements of our investment that the present value of our charter obligations on these investments. And so, the initial $60 million to the extent that those are relate -- that portion that’s related to the containers that were acquired will be used or could be thought as offsets of future purchases, where we made sublease or sell some of the own containers in addition to off-leasing the 9,000 leased containers that we acquired.
Brendan Maiorana – Wells Fargo: Okay. So it is -- this decision to shut this down, does that cause you guys to maybe rethink future investments in ocean transportation or I guess this is probably a question for Stan, how do you think about allocating capital and the risks that you have in the different operating segments within your business? Does it sort of cause you to maybe rethink about the risk profile of future investments and does that cause you to be maybe lean a little bit more towards real state investments or something that may have a little lower risk?
Stan Kuriyama: Yeah. Brendan, this is Stan. When we started this service, of course, a lot of it was premised on our outlook that China was and would remain for the foreseeable future really the world’s economic engine. And so taking the step was the chance for us to open that door to further grow by calling upon additional ports of call if this service proved to be successful. I think certainly that, that strategy would sort of this direct service between China and the U.S. would have to be reconsidered. Clearly, they were -- this was built upon the strengths of CLX1 and I think to the extent that those strengths such as our operating capabilities, backhaul service and those factors that make CLX1 such a success can continue to be leveraged in other opportunities in the Pacific region. Obviously, we did learn some lessons from CLX2 and those lessons would cause us to avoid certain other types of trade lanes as well. This was I think, as I said strategically, a good -- the right decision at that time. Our core business remains Jones Act, we will continue to focus on expansions in Jones Act trade lanes. That remains a primary objective of ours. But I think there are -- there will be opportunities to supplement Jones Act business with some other opportunities in the Asian region as well. Just -- I’ll turn it over to Matt for further comment but just to clarify one of the earlier points Brendan, you spoke about the cash flow and that refers to the future time periods in which that cash flow would occur, but the losses we sight represent the accrual of those costs most of which would be recognized in the third quarter. So, Matt any other additional color you want to provide on that question?
Matt Cox: No, I mean, I think the only thing I would add to what Stan mentioned was that if we knew going in that the China trades have been more volatible, we didn’t expect of course on the front end or this combination of high fuel prices and the rates that declined so significantly. Of course, Brendan, you know that our Jones Act trades have historically been much more stable and those remain fundamentally sound.
Brendan Maiorana – Wells Fargo: Okay. That’s helpful. Thank you and then, I guess for Chris, just on the solar project, I think I heard you correctly in that two-thirds of the return would be almost immediate in terms of a reduced tax rate and then but you’re still expecting a payback over the -- over five or six years. So, should we think about that if you’re investing $30 million that you get two-thirds of buy back initially in terms of taxes and the remaining of the return would come from annual returns -- on power purchase agreement or is there a -- the structure is a little bit different for that?
Chris Benjamin: No, I think that’s close enough, I mean, that’s pretty much how it works and we actually can get the benefit of some of those tax benefits through estimated tax reduction of estimated tax payments even when the project is still in progress. So it’s fairly attractive from that standpoint, but I think the way you’ve characterized it is pretty accurate and then of course we’ll have that annuity going out for the life of the purchase, the power purchase agreement.
Brendan Maiorana – Wells Fargo: And is that 15-year power purchase agreement?
Chris Benjamin: It’s a 20-year agreement, now of course all of this is still subject to approval by various regulatory bodies, most importantly the Public Utility Commission in Hawaii, but the PPA that we’ve negotiated is very similar to others that have been, that has preceded us and has been approved by the PUC. So we don’t ever want to prejudge what might happen, but we feel fairly optimistic that we’ll get that approval.
Brendan Maiorana – Wells Fargo: And if you look at this deal or you look at the Hawaii coffee deal that was done, you’ve kind of -- have been fairly creative in terms of getting, putting your land into motion and getting good returns on some of that land without really some of your unproductive lands. Is there a more that you can do as you look at the Agribusiness in terms of growing that profitability maybe on some land that isn’t really generating any current income?
Chris Benjamin: Well, certainly we’re looking at all kinds of things. We’re looking at other renewable energy opportunities and not just the bio fuel thing that we’ve talked about a lot of HCNS, but looking at potential expansion of our hydro capacity, we’d be very interested in looking at other solar, wind opportunities. So, yeah, we’re going to try to continue to be creative and look for other opportunities. It’s really too early to say exactly where that will lead, but I think we feel good about the environment that we’re in from the standpoint of being able to take advantage of what is. One of the things that Hawaii has as a very, very strong push towards -- as much renewable energy as possible, so, we’ve got a very supportive environment with two very supportive electric utilities and a supportive state administration and Public Utility Commission. Now beyond renewable energy, we’re also looking at ways to try to maximize the value of our lands whether it’s in our own Agribusiness business operations or identifying, optimal buyers for lands that aren’t employable in our own operations. So, I can’t really signal anything particular at this point, but we do intend and I work very closely with Norb and Stan in thinking about the highest and best use of our lands and that’s something that we’ll continue to do.
Brendan Maiorana – Wells Fargo: Okay. Thanks for the color.
Operator: Ladies and gentlemen, this concludes the question-and-answer session for today’s call. I will now like to hand the call over to Ms. Suzy Hollinger for closing remarks.
Suzy Hollinger: Thanks for everyone’s attention today. If you have further questions, please call me at 808-525-8422. Thank you.
Operator: Ladies and gentlemen, this concludes the presentation for today. You may now disconnect.